Operator: Good day and welcome to Oblong Inc. First Quarter 2021 Earnings Results Conference Call. Today's conference is being recorded. At this time I would like to turn the conference over to Mr. Brett Maas, Hayden Investor Relations. Please go ahead sir.
Brett Maas: Thank you, operator. I'd like to welcome everybody to the call. Hosting the call today are Oblong's Chairman and CEO Peter Holst, CFO, David Clark. Please be aware, some of the comments made during our call may contain forward-looking statements within the meaning of Federal Securities Laws.  Based upon our beliefs and expectations containing words such as may, could, would, will, should, believe, expect, anticipate and similar expressions constitute forward-looking statements. These statements involve risks and uncertainties regarding our operations and our future results that could cause actual results to differ materially from the management's current expectations. In addition, today's call includes non-GAAP financial measures and a reconciliation of such measures to GAAP measures is contained in the press release issued today. We encourage you to review the safe harbor statement and risk factors contained in the company's earnings release and filings the SEC including without limitation most recent annual report on Form 10K and other periodic report that identify specific risk factors that may also cause actual results or events to differ materially from those described in the forward-looking statements. Copies of the company's most recent reports on Form 10K and 10-Q may be obtained on the company's website www.oblong.com or the SEC website SEC.gov. The company does not undertake to publicly update or revise any forward-looking statements after the call or date of this call but also like to remind everyone that this call will be available for replay through May 27. A link to the website replay of the call is also provided in the earnings release and is available on the company's website at oblong.com. I will now turn the call over to CEO of Oblong, Pete Holst. Pete the floor is yours.
Peter Holst: Thanks, Brett. Good afternoon. Thank you everyone for joining us today. We achieved a number of notable accomplishments during and subsequent to the first quarter and are increasingly optimistic about the long term positioning and market opportunity for our solutions. As I'm sure you're aware, more and more companies are announcing plans for reopening their offices and returning employees to the workplace. There are strong indications we are gaining the upper hand on the pandemic with the rate of infection decelerating and more and more people being vaccinated every day. There are countless reasons to be hopeful. More and more large scale enterprises are preparing for a return to work. That includes reconfiguring workspaces with innovative technology solutions that can bring people together in the most engaging manner possible. While we believe the market will be fundamentally open in 2022, the pace and timing of office reopenings will vary significantly from region to region. Leaders are now reimagining how their businesses need to operate and how they can reinvigorate employees and recapture direct engagement that was lost with the abrupt dislocation of employees to remote work environments. We continue to see a strong pull for more advanced tools and intelligent technologies to improve productivity and the work experience. Across the spectrum this includes new and innovative ways to collaborate across a distributed workforce, including the engagement of employees that may remain remote indefinitely. Most telling of this demand is the size and quality of our pipeline. Today, our pipeline is approximately $25 million in total deal value more than double where it was a year ago, with a median deal size of approximately 40,000. Also about twice the size of where we were last year. In particular, and as we prepare for a shift to annual recurring revenue pricing models, we believe many of our current and prospective customers have user bases and real estate footprints that have addressable revenue well over 100,000 in annual recurring revenue. Based on substantial feedback in recent months from our customers, we believe many of them will welcome to shift to how they consume and purchase our services. By and large, most decision makers we speak with are optimistic about the future. Although many remain cautious about technology investments as they await the actual return to office environments to better gauge employee traffic and how conference room resources will be utilized. As a result, our sales cycles have elongated and we will remain in lockstep with IT leaders and facilities planners across our target market as their process continues to evolve. Messaging for customers and distributors in our core market and to our primary channel partner Cisco indicates that the return to office, as a return to office accelerates so will sales velocity. As we discussed during our last call, one indicator we use to gauge demand the number of demonstrations we are conducting. We continue to see both initial and follow on growth in demonstration inquiries for both our in room and our early stage cloud service. During the first quarter, we shipped approximately 2 million of mezzanine products to our distribution and system integration partners, including an order of nearly 1.6 million. It is important to note that we did not recognize the $1.6 million order as revenue or in our financials in the first quarter, as there were implementation delays beyond our control, primarily due to Coronavirus that were not anticipated when the orders were placed. This particular order included more than 150 systems to a distributor for a potential deployment of a national healthcare system over the next 12 to 18 months. Importantly, we believe this is just the first of several trenches that could culminate in systems being deployed across that entire footprint in nearly 400 rooms. In the event, the customer accepts these orders and we meet revenue recognition criteria in accordance with GAAP, we would expect to recognize revenue related to this customer deployment in future periods. While the macro environment remains fluid, there are some clear examples of how even when businesses are in the process of reopening, it can sometimes be two steps forward and one step back. But directionally, our momentum is both very positive and forward. Subsequent to the end of the quarter and as planned, we released an MVP version of our cloud offering to a select group of existing and prospective customers. We are now in the process of collecting key data and feedback that we will coalesce and circle back to our development professionals. We are keeping this initial pilot effort concentrated around specific users and verticals and we'll continue iterating based on feedback. Investment and solutions that can be consumed as a service remain a priority as the shift to a cloud first world continues and demand for more advanced and engaging cloud based technologies continues to grow. We estimate that the addressable market for our solutions to be millions of users with immense growth potential. More importantly, sales of cloud based solutions will provide a recurring base of revenue at higher margins that does not have to be resold quarter to quarter as is the case with our current product mix. As we discussed last quarter, we presold our first annual recurring revenue cloud deal based solely on an early prototype of our service, generating 75,000 annual recurring revenue in 2021. And believe many of our existing and future customers will migrate to this style of consumption. Over the course of 2021, we expect to expand our investments in both engineering and sales distribution as we look to shift our product mix from one time to recurring. We have made several key hires in the last five months on the product design and development team to help us accelerate the development of our cloud offering. We've also recently added more resources and sales to promote and expand awareness of our product offerings through new channels. I will now turn the call over to David to review the financial results.
David Clark: Thank you, Pete. Good afternoon everyone. Revenue for the first quarter of 2021 was $1.9 million compared to $5.3 million for the first quarter of 2020. It decreases mainly due to delayed orders in our distribution channels as a direct result of customer implementation schedules shifting due to the ongoing COVID-19 pandemic. Our gross profits for the first quarter of 2021 was 33%, which compares to 55% for the first quarter of last year. This decrease was primarily due to lower revenue between these periods and higher levels of operating costs as a percentage of revenue. Net loss for the first quarter of 2021 was $3.4 million, compared to a net loss of $3.1 million for the first quarter of 2020. Our adjusted EBITDA loss was $2.4 million in the first quarter of 2021 compared to an adjusted EBITDA loss of $1.5 million for the first quarter of 2020. This change was primarily due to lower revenue and gross profit between these periods, partially offset by lower operating expenses. Turning to our balance sheet and capitalization. At the end of the first quarter, we had a total cash balance of $4 million compared to $5.3 million at the end of 2020. Our only outstanding debt at the end of the first quarter was a $2.4 million loan from the paycheck protection program. Earlier this month, we applied for forgiveness with our lender, and we currently expect the entire amount of the loan will be forgiven in the next several months. On February 12 of this year, our common stock began trading on the NASDAQ capital market and we simplified our capital structure as all series D and series E preferred stock converted to common stock. As of that date we have no remaining preferred stock outstanding. With that, we can now open the call for questions.
Operator: Thank you. [Operator Instructions] We will take a question from [indiscernible]. Please go ahead.
Unidentified Analyst: Thank you and good afternoon. This $1.6 million of mezzanine that was pushed to the right, did you say that's with one customer or with more than one customer?
Peter Holst: Yes, hey, Jim, that's with one specific customer. 
Unidentified Analyst: And a lot of times when companies have this scenario, when things get pushed to the right, they say that they haven't lost the order and it's just going to get pushed the right, but you never really see it. And so are there other orders that are potentially deployed in Q1 or excuse me, Q2 and Q3 and then give to it? Or is it like the typical situation or somehow it just kind of gets lost?
Peter Holst: Well, I can't speak to other situations. We don't have any particular fact, I assume what you mean, Q2 and Q3, are you speaking to 2020 in terms of those periods in the past? Are you speaking forward?
Unidentified Analyst: Forward. 
Peter Holst: Forward. Yes. So this is sort of been onetime instance for us in Q1 and with respect to how we feel about this particular opportunity, we feel pretty strongly given our relationship with the customer and with the partner in this case that given nature of their consumption in IT, given where they are their deployment schedule of rooms in general, we just believe that in that particular country, they've fallen back in the queue as it relates to some delays they've had with recent events and Coronavirus. But we feel good about where that's going to queue in the future. We're not going to give any guidance about specific times or dates. But we feel pretty strongly that that's an excellent order. And that it will come about sometime in 2020 or 2021, I should say, rather.
Unidentified Analyst: So do you have to allocate resources to this specific implementation in order to book it as revenue and because of that you put other orders and their revenue recognition at risk? That is, do you have enough capacity to – this can be up and out there?
Peter Holst: We do. Yes, we have excess capacity right now. And plenty of infrastructure on hand from an implementation perspective at the hardware level, and certainly enough focus on the implementation level to support this and every other project that we have in the queue right now. So there won't be any delays as a result of anything on our side.
Unidentified Analyst: So I know you're not guiding and I'm not trying to get you to give me a number. But let me just throw out a scenario and see if that's a possibility. So if you had booked this mezzanine order, you would have done somewhere around 2 million in mezzanine this quarter. And so --
Peter Holst: Somewhere at that neck of the woods. Yes.
Unidentified Analyst: Yes. So in Q2 or Q3 presumably, you have other orders that might be of similar size, or let's call it 1 million to 2 million. So in some quarter going forward, wouldn't it be reasonable to expect a spike as this one gets booked? And then the other stuff that you have in the pipeline also gets booked? 
Peter Holst: Yes, certainly a spike from this quarter. No doubt about it. But I think it's fair to say that whenever this order comes to pass, we do clearly have additional orders in the queue that are similarly size, the period over which they'll be recognized, will be a function of how the customer decides to consume the product. As I said earlier in the script, some customers are coming to us with OpEx versus CapEx consumption models. So we may get into more annual recurring revenue or monthly recurring revenue models. But yes, it's certainly conceivable that we'll see a spike in a couple of quarters ahead as a result.
Unidentified Analyst: And the cloud offering, it sounds like you're going to be, I'm going to use the word cautious, but that's not right. Let's call it measured paced, you're going to be very deliberate in its rollout. So is that something that we're going to continue to hear about pilots and demos for the rest of the year and it's really a next year, meaningful revenue will actually not have been a revenue contribution, it's going to be a meaningful deployment next year, this year, is that reasonable to think of it that way?
Peter Holst: No, I think that's, I think directionally, that's reasonable. I think it's, I think you'll continue to hear about us iterating and getting to a beta and then going to general availability and a normal, in a normal sequence and continuing to collect a lot of feedback both from customers extremely sized and then those may be more mid size and having revenue be at a starting point, more likely a material starting point in 2022 and hoping to exit the end of 2022 with a more meaningful amount of revenue on a monthly basis. So --
Unidentified Analyst: Okay. And just to get back to the delayed, it’s not a delayed order, but the delayed installation. Is that a direct sale? Or was that done through distribution?
Peter Holst: It was done through distribution? Yes. It was done through in partnership in concert with Cisco actually. Cisco's, a very meaningful partner. And we also have a very large distributor in that particular market who has also been very helpful in the process.
Unidentified Analyst: Okay. And then you talked a little bit about this is the first tranche and this is one of three I think you said. So would the other two tranches be of similar size or are they potentially bigger --?
Peter Holst: Yes, no, we've sized the opportunity at around 400 rooms or 400 facilities. The rooms vary in size and type. So we've sort of measured the first tranche around 140 was the initial order that was placed by the distributor. So we believe they will be similarly sized tranches through phases two and three of this implementation.
Unidentified Analyst: Okay. And since you built these systems and you've shipped them to somewhere, am I seeing that in the inventory levels? I mean, it was up a little bit. It didn't seem like it was up that much. But is that where I'm seeing these systems? They're an inventory now?
Peter Holst: That's a good David question. Yes, David. That's right. They're still they're still recorded in our inventory as of March 31.
Unidentified Analyst: Okay. You talked about, I'm not sure how you phrased it, if you just said increase headcount or investment but you're expanding hearing and sales this year. And can you frame that for a numbers dialogue. I mean, that how big are we talking those expense items?
Peter Holst: Sure. So on a relative headcount basis, and I think we've published in our 10-K this a company around 50 folks generally a moving target at the end of 12, 31 last year. We added and we'll continue to add, we added three or four new folks in Dev. We've just recently added three folks in the sales department on mostly the account management and growth side of things, particularly around expanding distribution channels. So I will continue to do that. Generally as I said in the last call, based on buying signals that indicators from customers. So we are seeing strong signals from customers about reopening. No one can predict what that means or when that happens. And certainly in the engineering side of things, you've got to plan ahead, sometimes three to six, nine months ahead of when you anticipate some of these buying signals to kind of happen. So at this point, we've added five or six, seven new people, Jim, in the last 90 days, 120 days, equal amounts on both the sales side and on the engineering side. We will certainly add more on the engineering side in the coming months ahead and add to sales in parallel with where I see forward demand signals on the buy side for our customer base. So that gives you a sense of heads and I won't get into specific metrics about costs and economics. But they'll show up obviously and you'll see larger expenses, certainly in Q2 and Q3 as we continue to invest in both of those areas rationally but we'll continue to grow each of those domains along the way.
Unidentified Analyst: Okay, and help me to stop if I'm hogging too much.
Peter Holst: You are fine.
Unidentified Analyst: The deal pipeline that you talked about at the very beginning of the call, 25 million in total deal value. Can you just explain a little bit more what that is? And essentially, I'm trying to figure out what the likelihood of that closing is. And some companies when they report numbers like that, we'll just throw everything in it's like and it's somewhat of a inflated and meaningless number. So I'm trying to understand where you are with that 25 million – how big --?
Peter Holst: Yes. Well I mean, I think, Yes, no, I think the first comment I would make on the subject is when we think about pipeline, we think about qualified pipeline, first and foremost. So we've got our opportunities very carefully. Certainly, many of our leads in the last 9 to 12 months have come through our Cisco partnership. But we also have a number of others that have come elsewhere. And those leads are pretty carefully vetted typically, because Cisco is normally the incumbent customer or the incumbent manufacturer, or solution, as many of those leads come to us. So these aren't, leads that are unqualified, if you will. So just to sort of set that as the premise, the 25 million that we count in tangible pipeline is qualified ahead of time. When you dig into that a little further we look across the spectrum of all the opportunities that we have today. And then we look into the verticals specifically where we see where our product is going to add significant value immediately we then obviously correlate that into timelines and wait those opportunities accordingly. So as we talk about 25 million in pipeline, A, it's very qualified. B, the challenge always is to map that against a predictable outcome in a market where you don't have rational predictability as you would in a normal sales cycle, traditional enterprise sales cycle. And I think that's kind of the challenge before us right now, as we think about when these things are, when these opportunities and deals are going to come to bear. But the 25 million is clearly predicated on existing deals with our existing product mix today. We look at the user basis of each of those customers, obviously as tremendous upside for the business like tremendous significant upside for our cloud service downstream. And we don't map that in our pipeline metrics at all right now. We simply stick with the product as it's built, as it's priced in the market today. The only variance to that, obviously, is that 25 million is predicated on how we sell it which is one time in the revenue mix right now. And we are seeing increasing demand for us to shift that at least balance it out, if you will, from a CapEx to an OpEx. And so you may see us a 25 million may still have total contract value at 25 million but perhaps over a one two or three year period of time and so that would be the shift that we've long contemplated. We've talked about in prior calls and frankly, I think it's going to make sense at some point in the near term to make that pivot and make that shift.
Unidentified Analyst: And would it be reasonable to look at that 25 million in a similar way that this 1.6 million delayed order has, it's not a delayed order this delayed implementation has taken place? I mean, you're looking at that as the first free chunk. Is it reasonable to think that 25 million is the first of three tranches? 
Peter Holst: I'm not sure I'd correlate the two of them directly. One is pipeline and one is a very-very tangible deal opportunity that we've been working on for a long time, just getting into the last phases of implementation here. So I wouldn't tie the two together, Jim but I'd say from a quantitative purpose, which is the 1.6 million that we would have recognized theoretically in Q1 had the implementation started and the $25 million over some defined period of time are using essentially the same metric, right which is one time revenue as it stands today? But that's where probably the commonality starts and stops.
Unidentified Analyst: Yes. I'm asking something a little bit different. And I'm not sure if you're agreeing with me or not. But the 1.6 million is the customer is buying something today. And then the intent is if everything goes well, they'll buy another round. And then another round.
Peter Holst: That’s right.
Unidentified Analyst: $5 million pipeline you have customers in there who have a similar kind of scenarios that they're buying today and --
Peter Holst: That's absolutely right. That's right. And so yes, there are certainly a number of customers in our pipeline today that implementation will be in phases without a doubt. Right.
Unidentified Analyst: Right. So the ultimate deployment of that 25 million, might be 50% higher or it might be five times higher. I mean, we just don't know.
Peter Holst: That's right because we put in preliminary deals and pipeline, not the entirety of a deal, right out of the gate. That's right.
Unidentified Analyst: Right and that's what I was trying to get at. Okay.
Peter Holst: No, you're right. 
Unidentified Analyst: So back to expense increase. David, can you talk about how that's going to impact cash management, because it sounds like some of these, obviously, you're going to have increased cash and personal expenses. But particularly if, as Pete is describing, some of this is going to be frontend loaded in order to respond to what you're seeing from customers, the cash from a sale might not come until later. So how does that, how are you looking at cash management over the rest of the year?
David Clark: Well, I think on those deals, we would get certain payments upfront to offset our costs on that sort of ARR model. I mean, you would get sort of payment terms upfront, but in terms of cash management I mean, we ended the quarter with $4 million in cash. We're going to be prudent about when we look to raise capital and look to do it in a smart way and an opportunistic way. So Pete, I don't know if you want to add anything to that.
Peter Holst: No, that's right. I mean, I think we shared that the same methodology on the last call as well, which is we will continue to invest in the right areas when we see buying signals. When we see pipeline growth and demand and you've got a front run it to some degree. Every business has to contemplate and plan for investments well ahead of when a product's going to be designed or released. And well, it's certainly well ahead and when a customer is ready to buy, but you can't be too far ahead. So I think we're making the right decisions at the right moment based on the indications we're getting back from the market. And with $4 million cash at the end of March it was clear that we burned a little over a million dollars in the quarter and that we're pretty judicious with our cash and will continue to be for the foreseeable future. Clearly.
Unidentified Analyst: Okay. All right. And just finally on the PPP loan. Did I hear you right you applied for forgiveness? And if that's the case, when is the decision made on that?
Peter Holst: Yes, that's right. So we applied for forgiveness actually earlier this month. And that's with our lender. And so the lender typically the processes, the lender would approve the forgiveness. And then down the road it's potentially subject to audit by the SBA. But we expect that initial forgiveness by the lender to occur probably in the next month to two months at the latest. The SBA process, I've heard that varies, but it could that could be a while, but we'd have a loan that's forgiven, and then just subject to audit later.
Unidentified Analyst: And is that an all or none proposition? And can they say, well, we're going to forgive, make up a number a million, but the other 1.4 million that's yours.
Peter Holst: I think that that's a possible scenario, I think, based on all the data the support we've put together in the application, we believe it will be entirely forgiven. And the way that would be, that would just be booked as a you need to reduce the debt on your balance sheet and it would run through other income. So yes, that's how we think that'll play out. But again, it's you can never guarantee that it's the SBA won't come back and look at some calculation and include an adjustment.
Unidentified Analyst: Yes. No I get it. Is there do you have a revolver or working capital line or any other facilities out there you can draw on?
Peter Holst: We don't at this time. We don't have any other debt outside this PPP loan or revolver.
Unidentified Analyst: Okay. Well, you guys have been very generous with your time and patience with me. I appreciate that a lot. And good luck with that. Thank you.
Peter Holst: Thanks, Jim.
Operator: And that is all the time we have for Q&A today. I'll hand the call back over to our speakers for additional or closing remarks.
Peter Holst: Thanks Orlando. Clearly, the return to work and corporate investment in innovative technology solutions are near term catalysts for our business, which we believe are poised for incredible acceleration in the coming quarters. More importantly, is the longer term view and the opportunities for our extremely unique and highly differentiated services and the evolution to both a hybrid and a cloud based platform. Equipped with years of domain expertise and intellectual property against the backdrop of improving business conditions, we are in an enviable position to grow our market opportunity and be a key part of workplace transformation in the future. Thank you for participating in today's call and we look forward to speaking with you again in 90 days.
Operator: And this concludes today's call. We thank you again for your participation. You may now disconnect.